Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Jamf Second Quarter 2020 Earnings Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Ms. Lana Adair. Thank you. Please go ahead, ma'am.
Lana Adair: Good afternoon, and thank you for joining us on today's conference call to discuss Jamf's second quarter 2020 financial results. With me on today's call are Dean Hager, GM's Chief Executive Officer; and Jill Putman, the company's Chief Financial Officer. Before we begin, I would like to remind you that shortly after the market closed today, Jamf issued a press release announcing its second quarter 2020 financial results. Additionally, Jamf published an investor presentation. You may access the press release and the presentation on the Investor Relations section of jamf.com.  Today's discussion may include forward-looking statements. Please refer to our IPO prospectus dated July 21, 2020, and our quarterly report for the quarter ended June 30, 2020, filed on Form 10-Q and filed with the Securities and Exchange Commission, where you will see a discussion of factors that could cause the company's actual results to differ materially from these statements.  I would also like to remind you that during the call, we will discuss some non-GAAP measures related to Jamf's performance. You can find the reconciliation of those measures to the nearest comparable GAAP measures in our quarterly financial statements. [Operator Instructions]. Now I'd like to turn the call over to Dean Hager. Dean?
Dean Hager: Thank you, Lana. And thank you, everyone, for joining us on our first earnings call. Let me first say that it's great to talk to all of you again as a public company. Jamf's IPO was a significant step in our journey to help organizations succeed with Apple, and it's a combination of a lot of hard work by many people. On behalf of our entire management team, I want to thank our Jamf team members and Jamf Nation for their continued support in achieving this milestone. We are very proud of how far we've come since Jamf was founded in 2002, and we look forward to building on our success in the years ahead. We, like many of you, are now in our sixth month of working remotely, and I am so grateful to our team and the outstanding work that they've done executing while being physically isolated from people they care about amid an uncertain macroeconomic environment caused by COVID-19. In addition, in light of the tragic events that occurred in our hometown of Minneapolis and the more recent events in our founding state of Wisconsin, I also want to thank the Jamf team for their commitment to be part of the solution as we listen, learn and take action against racial bias and justice and inequity. Like the rest of the world, we have significant room for improvement, and we commit to getting better as we continue to serve our local and global communities.  For our call today, I will recap the highlights of our second quarter and provide a background on Jamf for those who are newer to the company. Finally, I'll touch on some of the exciting developments and customer wins we had in the quarter before turning it over to Jill, who will walk through the financials in detail. Since this is our first call together and we have many listeners who are just getting to know Jamf, I plan to spend a bit more time upfront than I will on future calls. We had a very strong performance in Q2 and achieved record quarterly revenue, while significantly improving operating margins. Total revenue in the second quarter grew 29% year-over-year to a record $62.2 million, driven by recurring revenue growth of 42% year-over-year to $58.8 million, which is now over 94% of total revenues. Annual recurring revenue, or ARR, as of June 30, was $241 million, growing 36% year-over-year.  Non-GAAP operating income was $11.2 million in the quarter or 18% of revenue. This is a 9-point improvement over second quarter of 2019. And unlevered free cash flow totaled $21 million in the second quarter, representing an unlevered free cash flow margin of 34% compared to 4% in Q2 of last year. Our strong growth is driven by the essential role we play as the standard in Apple Enterprise Management. I think communicating the value of what we do at Jamf be done by telling a short story about my first day of work at Jamf, which was over 5 years ago, and I apologize for those of you who have heard this story already. I tell it because I believe it's a quick and effective way of conveying the power and value of the Jamf platform.  On my first day at Jamf, I was prepared to sit down with our IT department to configure my computer to the exact security requirements that I needed, confirming passwords and provisioning a host of applications. That was exactly the experience I had at all my previous employers. Instead, I found a MacBook with a Post-it note stuck to the outside of the sealed box. It said, "Step 1, open box. Step 2, power on. Step 3, there is no Step 3." No one was needed to help me set up my computer, yet it was connected, secured and loaded with apps needed specifically for me when I turned it on. I still have that Post-it note, and it has become our mantra to demonstrate the simplicity Jamf brings to the end user, IT and the enterprise.  Jamf embraces Apple technology because of its legendary simplicity for the individual. As Apple focuses on the person, Jamf focuses on the people. Our goal is to empower people with Apple technology and to make every enterprise experience as simple and seamless as Apple's consumer experience. Whether the devices are being used in an office, hospital, retail store or school, we fill the gap between what Apple builds for the person and what the enterprise requires. Jamf's platform helps transform the relationship between IT and the people they serve, empowering IT to empower their customers efficiently. Jamf addresses the needs of organizations of all shapes, sizes, scale, geography and industry. Our platform centers around 3 pillars: connecting users, protecting devices, and managing Apple workflows that are critical for individual and organization productivity. Specifically, our Jamf Connect product provides access and account management features, integrating with our customers' cloud identity provider to seamlessly and securely connect users to the resources they need to be most productive in their role.  Our purpose-built end point protection product, Jamf Protect, provides insight regarding how the Apple device is behaving, the processes that are running, and actively identifies and blocks known malware and behaviors that should be flagged as a potential issue or risk for the device, user or enterprise.  To manage the Apple ecosystem of devices, applications and cloud services, we offer 3 purpose-built products: Jamf Pro, Jamf School and Jamf Now. These solutions are designed for specific market segments, able to address the most complex Apple deployments in the world, deliver instant on-demand simplicity for small businesses, and arm teachers with the tools they need to focus students and optimize technology use in and out of the classroom. And with nearly a decade of same-day support for Apple's operating system releases, Jamf's individual products together offer an integrated platform for full life cycle Apple Enterprise Management. In addition to the value of the Jamf platform, our user community, Jamf Nation, has over 100,000 members, is as one of the tightest online communities in all of high tech. They are committed to helping one another solve problems and share best practices. And this rich user-generated content gets picked up by search engines and helps more people get introduced to Jamf when they search for anything regarding Apple in the enterprise. Our annual Jamf Nation User Conference, or JNUC, will be virtual this year and is being held September 29 to October 1. We're anticipating our largest turnout ever with thousands of attendees from around the world. We invite all of you to join and watch our keynote presentation on September 29 and also presentations from many of our customers, partners and Jamf team throughout the remainder of the event. As in the past, attendees can also expect sessions and commentary directly from Apple.  Jamf's dedication to innovation and customer success has fueled our growth to where we now serve over 40,000 active customers of all sizes and industries in over 100 countries. Amongst this broad base of customers, we also support some of the largest companies in the world. We serve all of the top 10 largest U.S. banks, 24 of the 25 most valuable brands, 15 of the top 20 U.S. hospitals, and 7 of the 10 largest school districts. We are broadly distributed, with no end customer comprising over 1% of annual revenue, and we believe that diversification helps stabilize our business over time.  Jamf has had a long history of helping organizations through strategic transformations. Never has our support been more important than the past several months. Jamf's capabilities have put us in the unique position to help our customers with their digital transformation in response to COVID-19. While we have seen the same market and organization challenges as everyone else, it has been rewarding to also provide solutions that are uniquely valuable in this difficult market. For years, Jamf has been building a framework for completely touchless deployment and support. Now suddenly it's required for everyone. We've enabled hospitals to deliver care while preserving PPE and keeping their care providers safe. And we've helped patients connect with their families while in isolation, using our patent-pending Virtual Visits workflow.  We've also have virtually connected classrooms, empowering teachers to focus their students and control the content on Apple devices even though they are miles away. And we've helped businesses stay in business by empowering IT to empower employees at home. Technology is no longer part of the employee experience. It is the entire employee experience. What was once nice to have is now a necessity. Even after we work through this difficult period, we do not believe the world will go back to the way things were. These past several months have laid the groundwork for a future where people can work from anywhere, learn anywhere, and receive care anywhere.  To be clear, Jamf is seeing the same macroeconomic market challenges as other organizations. We have seen customers reduce their staff and therefore lower their device contract renewal. Some customers have requested to delay payments and we've seen many budget cuts and deferrals. Yet, Jamf's ability to help organizations across the world implement work-at-home, telehealth and distance learning workloads has, in large part, offset many of the macroeconomic challenges. Let me give you a few examples. First, in health care, an industry that is on the top of everyone's mind. One of the hospitals we serve is Oxford Health NHS Foundation Trust. We have worked with Oxford Health since 2018 when we were brought in to help streamline their clinical communications efforts with more than 4,000 iPads. In Q2 of this year, the COVID-19 outbreak accelerated their digital strategy. Oxford Health added Jamf's virtual visit solution to seamlessly configure and deploy Microsoft Teams to iPads without requiring complex steps for users to get set up or connect virtually. Oxford Health now simply connects patients in isolation with their loved ones without IT having to touch the device or provide assistance.  UC San Diego Health is another example of digital care acceleration. For several years, Jamf has helped power UCSD's patient bedside in clinical communication initiatives using iPads and iPhones. In Q2, UCSD started using Jamf's Virtual Visits solutions to empower care providers to simply and efficiently visit patients throughout the hospital using Zoom to over 700 bedside iPads, providing critical patient care while keeping care providers safe and conserving PPE. In the education industry, COVID-19 resulted in students around the world to be sent home. Some schools who are more digitally advanced were able to continue classes. Others were not. But in Q2, all schools knew they needed to prepare learning strategies for the upcoming school year that would effectively support both educators and students whether school was remote, in person, hybrid or a combination over time. Fortunately, governments around the world have created programs to help fund these initiatives.  For example, in Japan, we saw several new schools come to Jamf using funding from the GIGA program, which is an abbreviation for Global and Innovation Gateway for All, a program intended to provide high-capacity communication networks for schools and PCs or tablets to all elementary and secondary students in Japan by 2023. In Q2, we also saw an acceleration of similar activity in Germany as a result of the DigiPat project.  And here in the U.S., the CARES Act is providing schools with an avenue to fund the digital initiatives required for distance learning. One example is Austin Independent School District in Texas, where they purchased 24,000 seats of Jamf to help prepare for the upcoming school year. To safely distribute and personalize these devices for students, Austin created a workflow using Jamf to automatically configure devices by simply scanning a QR code for the next student in line. The result was a safe distribution of all student devices with an average 5-minute turnaround time from when parents arrived in the parking lot, to depart with a brand-new Apple device, enabling personalized distant learning for each student. Here in Minnesota, when students were sent home in the spring, St. Paul Public Schools was able to rapidly adapt to distant learning requirements, in part because of their partnership with Apple and Jamf. In preparation for the upcoming year, St. Paul was able to purchase additional devices now with 45,000 iPads and 14,000 Macs. For students that don't have home connectivity, St. Paul purchased T-Mobile hotspots, and using Jamf, configured the student devices to automatically use the appropriate hotspot while blocking anyone else from using it. They also use Jamf to configure Google Meet for in-person virtual classes and provide a St. Paul's Public School-specific app store with over 500 educational apps available to students.  In addition to helping hospitals and schools, in Q2 Jamf also helped businesses stay in business. In the U.K., Starling Bank credits Jamf for enabling them to pivot entirely to remote work. When forced to send employees home, Starling Bank was able to immediately send 250 brand-new MacBooks out to employees' homes in 1 day, with another 150 MacBooks in the days that followed. This was achieved using zero-touch deployment that was completely personalized with Jamf, and secure multifactor authentication for accessing enterprise resources enabled by Jamf Connect. Not only were employees provided this technology in their homes, the IT team was able to orchestrate the deployment entirely from their own homes and provide outstanding service with no need to go into the office.  Scrive, an e-signature business out of the Nordics and Jamf customer since 2018, expanded their Jamf usage, purchasing our latest product, Jamf Protect, to ensure their Mac fleet was secure and safe, as employees accessed company resources remotely. Scrive needed a Mac-specific security solution with malware prevention and a design that eliminated kernel extensions and provided seamless integration with Jamf Pro to offer immediate remediation of identified issues.  And we are very proud to have taken remote empowerment to a different stratosphere by once again entering space in Q2. Many of you saw SpaceX make history by launching NASA astronauts to the International Space Station and then returning them to earth safely, using Apple iPads for the crew and ground support staff. Jamf is proud to be SpaceX's partner for managing thousands of Apple devices. These customer examples are representative of an addressable market for Apple Enterprise Management. The global total addressable market, or TAM, for Apple Enterprise Management is estimated to be $10.3 billion in 2019 and is expected to grow at a compound annual growth rate of 17.8% to $23.4 billion by the end of 2024 according to Frost & Sullivan.  The market has been growing consistently over the last decade for a few reasons: one, because of the consumerization of IT, which refers to the migration of software and hardware products originally designed for personal use into the enterprise. Today, employees are less inclined to draw a line between work and personal technology and commonly prefer not to settle for enterprise solutions that are harder to use than what they have in their homes. This is a trend that is seeing even more traction due to the digital transformation happening in response to COVID-19. Two, Apple continues to innovate new technology that increases its penetration within the enterprise including iPhone, iPad, Apple TV and Macs. Specifically, we see enterprise market share for Mac continuing to expand, which we believe is still in the early stages. Jamf will help facilitate that expansion and benefit from it.  Jamf has been pursuing our mission to help organizations succeed with Apple for over 18 years, yet we believe we are still early in our story and our market opportunity. Jamf will continue to extend our technology leadership position through R&D investment and new products that deliver unique industry-specific innovation.  We will invest in targeted sales and marketing to grow our customer base and increase sales to existing customers. We also have an opportunity to grow by further expanding our global presence. And finally, we will continue to cultivate Jamf Nation and relationships with developer partners to further build out the Jamf marketplace in order to provide customers an ecosystem of solutions that help them succeed. In summary, we are pleased with our Q2 results in a very difficult environment. We continue to see strong demand across the business. We are in the early innings of a significant market opportunity. We appreciate your interest in the Jamf story.  I'd like to now turn the call over to Jill to walk through our financial results and guidance. Jill?
Jill Putman: Thanks, Dean, and thanks again to everyone for joining us today. I'll start by providing a brief overview of our financial model, and then I'll go through our second quarter results in detail before moving on to guidance for the third quarter and full year 2020. Our software platform is offered primarily through a subscription SaaS model. These subscriptions are typically 1 year in duration and invoiced in advance. We offer tiered pricing based on the number of devices that our solutions are deployed on across an organization.  We see multiple levers that drive our land-and-expand model, including new logo acquisition, an increasing number of users across an organization, adding more devices to the platform and expanding our product suite with the introduction of value-added products. We have primarily a recurring revenue model, with recurring revenue expanding as a percentage of our total revenue. A small portion of our revenue is nonrecurring, and this includes on-premise perpetual license revenue as well as services revenue. The primary goal of our services offering is to ensure our customers are successful with their Jamf deployments. This includes configuration support and training services, which are priced on a fixed fee basis. While service revenue may fluctuate quarter to quarter, we expect services to be a smaller portion of our revenue over time. We expect perpetual license revenue to decline on an absolute basis as more customers deploy our software through a SaaS model. As Dean mentioned, we had a very strong second quarter. Total revenue for the second quarter was $62.2 million, growing 29% year-over-year. Recurring revenue totaled $58.7 million in the second quarter, an increase of 42% year-over-year and comprised 94% of our total revenue versus 85% in the second quarter last year. Nonrecurring revenue was $3.5 million. We had a strong finish this June in terms of both new accounts and renewals. Moving on to ARR. As a reminder, ARR represents the annualized value of all subscription, support and maintenance contracts at the end of the period. ARR mitigates fluctuations due to seasonality, contract terms and the sales mix of subscriptions from term-based licenses and SaaS. Total ARR as of June 30, 2020, was $241 million, an increase of 36% year-over-year. Three primary drivers underpin the growth of our ARR: first, being our consistently high device expansion rates; second, our strong new logo acquisition; and third, the upselling and cross-selling opportunities for products into our installed base. We expect to continue benefiting from these trends in the years ahead.  We believe our ability to grow the number of devices on our software platform provides a key indicator of the growth of our business and our future business opportunities. We define a device at the end of any particular period as having at least one active subscription or support and maintenance agreement as of the measurement date or that has a reasonable probability of renewal. A single customer may have multiple Jamf products on a single device, but we still would only count that as one device. As of the end of Q2, we had 17.2 million devices on our platform, representing a 19% year-over-year growth rate. We saw particular strength in the health care and education verticals this quarter as COVID-19 has accelerated the demand for organizations to connect remotely, manage and protect their Apple devices.  We have a history of attracting new customers and growing their annual spend with us over time, driving our high dollar-based net retention rate. We accomplish this by adding devices to our platform and expanding our customers' adoption of add-on products. Our dollar-based net retention rate was 117% for the trailing 12 months ended June 30, 2020.  Before turning to expense items and profitability, I would like to point out that I will be discussing non-GAAP results for the remainder of my remarks. Our GAAP financial results along with a reconciliation between GAAP and non-GAAP are found in our earnings release. Gross profit was $51.3 million, up 37% year-over-year, while gross margin was 82%, up 5 points year-over-year. The second quarter gross margin was better than our recent historical rates due to a mix shift in revenue and cost of sales as we delivered less of our lower-margin safe for safe services due to COVID restrictions. We expect our gross margin to increase over time as compared to the rates we delivered prior to the impact of COVID as recurring revenue becomes a larger portion of total revenue and as we increase average ARR per device. Turning now to operating expenses. We remain focused on improving the leverage in our business while balancing our investments for growth. With this dynamic in mind, we expect our recurring subscription revenue to grow at a faster rate than our operating expenses, which will continue to improve operating margins over time. Total operating expense for Q2 was $40.1 million compared to $33 million in Q2 last year. This year-over-year growth was driven primarily by continued investments in our global go-to-market strategy as well as investments in research and development, as innovation in both our existing and new products and features remains a top priority for us. We also invested to add capabilities in anticipation of operating as a public company.  We delayed some planned spending in Q2 due to COVID-19. And we'll invest a portion of that expense savings in the second half of this year, with the majority of the investment spending in the fourth quarter. Our operating income in the quarter was $11.2 million and $4.4 million in Q2 last year. Non-GAAP operating margin was 18%, representing a 9-point increase compared to the same period last year, partially due to the delayed spending in the quarter.  Our basic and diluted average share count for the quarter was 102.9 million as compared to 102.7 million in the second quarter of 2019. Please note the second quarter share count is not pro forma for the July IPO newly issued shares. Unlevered free cash flow was $21 million in Q2 compared to $1.8 million last year. Second quarter unlevered cash flow represents 34% of total revenue, up from 4% of total revenue a year ago. Our operating model of high-growth and improving efficiency yields strong cash flow generation. In addition, in the second quarter, our cash flow benefited from our actions to preserve our cash balance, which included a reduction in spending as we evaluated the impact of COVID-19 on our business. We expect that these investments will return in the second part of this year. Turning to the balance sheet. We ended the second quarter with $38.4 million in cash, cash equivalents and short-term investments. Following the close of our IPO on July 24, we added approximately $319 million in cash. On July 27, we paid down the principal amount of our term loan facility and related interest and penalties of approximately $210 million.  And finally, turning now to guidance. As Dean discussed, our business has seen some benefits from a number of trends emerging during this challenging times, including the proliferation of telehealth, remote learning and the rise of a more permanent work-from-home movement. At the same time, there is embedded uncertainty around the IT spending environment as renewals, capital spending and new IT projects are subject to more scrutiny across organizations everywhere. With these dynamics in mind, for the third quarter of 2020, we expect total revenue in the range of $65 million to $66 million, representing growth of 19% to 21% year-over-year; non-GAAP operating income in the range of $5 million to $7 million; and a nonrecurring charge of $5.2 million related to the early extinguishment of our term loan facility. For the full year 2020, we expect total revenue in the range of $255 million to $257 million, representing growth of 25% to 26% year-over-year; non-GAAP operating income in the range of $20 million to $23 million, reflecting a partially nonrecurring increase in operating expenses as we plan to spend a portion of the expenses delayed in Q2 in the second half of the year.  For modeling purposes, we are providing the following information. We expect an annual effective tax rate of 25%. As a reminder, we use our statutory tax rate when calculating tax effects of non-GAAP adjustments, which is not materially different from our annual effective tax rate. For calculating GAAP EPS, we expect basic weighted average shares outstanding to be approximately 113 million for the third quarter, 116 million for the fourth quarter and 109 million for the full year 2020. We are not providing a diluted weighted average outstanding share count at this time as it would not have a material impact on EPS. In closing, we are very pleased with our performance in the second quarter and look forward to sharing our results in the quarters ahead.  With that, Dean and I will take your questions. Operator?
Operator: [Operator Instructions]. Our first question comes from Rod Hall with Goldman Sachs.
Rod Hall: Congrats on your first set of earnings as a public company. So I wanted to start off maybe and ask Dean and Jill if you guys want to comment on the trajectory of demand? So we've clearly seen a flurry of activity as everybody is going to work from home and study from home here. And I wonder how you see the pipeline of opportunities extending on out the next couple of quarters? And just kind of help us with the ebb and flow of demand as that process unfolds or continue to unfold?  And then the other thing, I thought since this is the first time you guys have reported earnings, Dean, maybe I could get you to talk a little bit about what your relationship with Apple is. I know that they recently bought this company, Fleetsmith, which has zero-touch provisioning. But just how do you see their intentions in enterprise Mac management moving forward vis-à-vis your own? And maybe you could give a little history on how that's going, too.
Dean Hager: Sure. Good to hear from you, Rod. There was a lot there. Why don't I just speak first about the trajectory of demand? A great data points to look at that would simply be our pipeline, and when we take a look at our pipeline and our coverage that we have, it is actually very similar post the COVID breakout as it was prior to it. If there's any difference in behavior post-COVID breakout is that we do see some deals in the pipeline pushing or taking longer to close.  But to counter that, we also see very fast-moving deals coming into the pipe, where a school needs to very rapidly get distance learning in place. Or a workplace, like those that I mentioned in my prepared comments, needs to very quickly arm employees at home. So amazingly, they've actually kind of offset each other, and our overall pipeline coverage remains about the same as it was prior to the COVID outbreak. In relation to Apple, we, obviously, over the last 18 years, we've had a long relationship with them. We have certain contractual elements with Apple in that Apple is a reseller of ours through their retail stores and through their education channel. In addition, Apple is a customer of ours and has been since 2010. Generally speaking, Apple creates enablement services that Jamf is able to leverage in order to build solutions. So for instance, in our view, the MDM framework is exactly that. It's a framework on which you build solutions. It's not the end solution for the customer. So Apple will tend to build out services and frameworks and focus their energies on building for the individual user, and then Jamf will use the great technology that Apple builds, and build upon it for a more robust Apple Enterprise Management system that then can be fully deployed, whether it be in schools, hospitals or the workplace. And then, finally, regarding the Fleetsmith acquisition itself, both pre- and post-acquisition there from Apple, there is such little functional overlap and market overlap that we've never really considered that a competitive thing. We think Apple's intent is to continue to build out on the great Apple Business Manager system that they have. And the more they do, the stronger we can create our solutions, and it will just be good for our customers.
Operator: Our next question comes from Sterling Auty with JPMorgan.
Sterling Auty: I guess for my question, I wanted to dive into the education sector in particular. Can you give us a sense of what is the typical buying season in the education vertical? Do you think you've seen all of the tailwind from COVID in your June results, or does it carry into September? And how much of that gets split between higher education colleges versus K-12?
Dean Hager: Thanks, Sterling. It's a very interesting season for education right now. In the U.S., the fiscal year runs from July through June. So you end up having some seasonality in the month of June spending last year's budget, but then you also get some seasonality in July of spending of this year's budget. That typically goes throughout the summer in preparation for the school year here in the U.S. Granted, some school years are on different time frames around the world and Jamf serves education customers around the world. So you need to be mindful of that as well.  The bulk of the business is in K-12, of our education business, about 85%. And I would say this year because of COVID that the buying season for education is even extending closer to the school year, and we would even expect it to enter into the school year a little bit. And that is for a few reasons. One is the need to serve those students, and two is just the processes for getting budgeting for it. I mentioned 3 different governments and sources of budgeting -- or budgeting in my comments. And so sometimes that just takes a little bit of time. And so schools are going through that process to get budgeting in place in order to do their purchases to be ready for the school year. So it's a little bit heightened this year compared to most years, I believe.
Operator: Your next question comes from Brad Sills with Bank of America Securities.
Brad Sills: Great. I wanted to ask about where you're seeing some of the staff reductions and device reductions. Is that limited to hard-hit industries? just any color on where you're seeing that exactly, please?
Dean Hager: Sure thing, Brad. Yes, I mean obviously in some of the industries that -- like hospitality, they're going to be the hardest hit in COVID. One of the things that is to Jamf's advantage is when you look at our lead industries of education, health care, information services, banking, some of those industries are lesser hit than some of the others. And as a result, we've been isolated a bit. And in fact, in some of those industries, actually seeing increased activity because of the need to respond to COVID in a way that keeps care provides safe, allows teachers to still control their classroom and empowers workers at home.
Brad Sills: Great. You've made some comments earlier on a stronger June. Should we take that to mean that the environment's kind of improved throughout the quarter? And any July -- Any update for July and August, I think, would be really helpful as well, please.
Dean Hager: Sure. And just to recap a little bit of what we saw in Q2, there was definitely a slowdown when we took a look at April. And I think almost everybody experienced that as people were just assessing to see what was going to happen. We then saw improvements in May. And then from a volume perspective, June felt pretty normal to us. Rhythms might have been a little bit different in terms of fast- and slow-moving deals. But from a subscription volume, it started to feel pretty normal to us, and that has continued as we've entered into the summer as well. The only thing that has stayed as a bit of a challenge would be some of those face-to-face professional services. That is still slower than what we typically see.
Operator: Our next question comes from Raimo Lenschow with Barclays.
Raimo Lenschow: I had one question and one follow-up if that's okay. First one, if you -- and congrats on the first quarter actually, let me start with that. If you look at the changes that we are seeing now in terms of the industry coming from COVID, there's obviously like headwinds and tailwinds that you guys are seeing. But how do you think this will impact the whole industry in terms of how that will play out for your business over the coming quarters? Because this -- obviously that emergency spending, the school having all these emergency stuff. But can you talk a little bit about the underlying changes you were expecting for the industry? That's one.  And then one -- the follow-up is more like a number crunching one. Like if I think about device growth, the 19%, is that kind of the new normal? It was slightly lower than in other quarters. Can you just kind of comment about some of the puts and takes there?
Dean Hager: Sure. Thanks, Raimo. Why don't I take the first side of that on the headwinds and tailwinds, and then Jill can comment on the device growth? First of all, on headwinds, I'll start on the negative. We have clearly seen some budget pushout. We see some staff reductions, and as a result, some device reductions at renewal. And we have also seen some customers requesting to pay -- have deferred payment.  But offsetting those macroeconomic headwinds, we are seeing the overall trends of industries as tailwinds. And I've already covered them: work from home, telehealth, and distance learning. And those -- only distance learning really has an additional source of funding from the government programs. The other organizations are coming up with the budgeting that they need in order to do what they must stay in business, care for their patients, make sure that their students are still in a quality class. We believe that you can't put the genie back in the bottle when it comes to those trends. Everything that we see, surveys we've conducted, analysts that we've talked to say that the work-from-home -- that this is actually an igniting event that is going to cause more employees to work from home in the future. And if you think that most of our momentum in the industry has been the result of the consumerization of IT, when you have the greatest movement of people from the office to their homes in the history of the world, I believe that, that will fuel the consumerization of IT. And I think that schools will now start to embrace distance learning.  First thing -- in Minnesota, we have things called snow days. In the future, we may not have snow days anymore because we're distant learning-enabled. And we see hospitals actually seeing these virtual visits rounds around the hospitals being quite productive, efficient, and even providing better patient care. So we think those trends are going to stay even after the macroeconomic challenges go away. And with that, why don't I hand it over to Jill to talk about device growth.
Jill Putman: Hey, Raimo. Yes, so as far as device growth goes, a couple of things impacting the most recent quarter. A lot of what Dean was talking about with the impact of COVID and particularly in the commercial sector where we saw our customers being a little bit more deliberate about the number of devices they were purchasing and renewing, really not carrying anything extra than they needed, also not renewing early or buying early, so a little bit of an impact there.  And then the other thing driving it is that we're right in the middle of our summer -- our education busy season, that season straddles Q2 and Q3. and those devices -- in education, our device expansion is slower than in the commercial sector. And so that mix is out a little bit different in the second quarter. By the time we get to fourth quarter, we'll be back to flipping it around, where we're more heavily focused on our commercial business, and we'll start to see that flip again.
Operator: Our next question comes from Matt Hedberg with RBC Capital Markets.
Matt Hedberg: Great. And congrats, guys, on the IPO. Jill or Dean, cross-selling and up-selling into your base is one of the core drivers of sustained ARR growth. Now I know both Connect and Protect are relatively newer products, but they can roughly double the average revenue per user. Can you talk a bit more about what you're seeing today in terms of demand for those two add-on modules, and perhaps how they might ramp in coming quarters and years? Especially considering security on Apple devices historically has been one of the bigger reasons for not deploying Apple in the enterprise.
Dean Hager: Yes. Sure thing. Thanks, Matt. We're very pleased with the demand. I'm very pleased with the demand. Jamf Connect has been on the market now less than 2 years. Jamf Protect has been on the market for less than 1 year. Our customer count for Jamf Protect is measured in the hundreds. Jamf Connect is over 1,000. We believe that that's been very good adoption in a very short time in market. And as time goes on as we continue to integrate our solutions together into offering more of a complete platform than a set of products, we see that demand even growing further.  Apple products are known for the strength in security. However, not many enterprise security providers focus on Apple the way that Jamf does. And as a result, we believe that not only will the popularity of our security products grow, but we think it will actually pave the way for Mac adoption in the enterprise to grow as well.
Operator: Our next question comes from Gregg Moskowitz with Mizuho.
Gregg Moskowitz: Okay. I'll add my congratulations as well. I guess sort of my first question, so Apple had a strong quarter as well, including Mac revenue growth of 22%. And just to be clear, Dean, since this question does sometimes come up, can you talk about the correlation, or lack thereof, between Apple's unit shipments and your ARR growth?
Dean Hager: Yes. Actually, thanks for that question, Gregg. It's important to understand that. Obviously, every time Apple grows in their unit shipments, Jamf certainly doesn't consider that a bad thing. However, our business predominantly grows through the enterprise and education acceptance of using Apple products at school or at work. And that acceptance within the enterprise is actually outpacing even the device growth that you see.  I mentioned our TAM of being $10.3 billion in 2019 and growing at over 17% in the coming five years according to Frost & Sullivan. That growth rate of the TAM has to do with the enterprise embracing the Apple products, more than it has to do with just unit shipment from Apple. Because quite frankly, the Apple ecosystem is already very large out there, and we have a lot of work to do in terms of just continuing to enable those Apple devices within enterprise usage.
Gregg Moskowitz: Okay. Perfect. And then you mentioned that K-12 is about 85% of your education business. I was curious on the higher ed side because with an increasing number of college campuses moving to an entirely online curriculum, or at the very least one that is primarily online, has this sparked more conversation and potentially even commitments from these colleges to provision their student body with Macs that they can control instead of utilizing a BYO-type of approach?
Dean Hager: I think that we're very early on that discussion in high ed right now. In fact overall within education, as much activity as there is to get ready for distance learning, I still think that there is a lot of movement to be had, remembering we're a global company. And I mentioned the Japan GIGA project, for instance, their plan was to put products in the hands of every student in Japan by the year 2023. So there's still quite a long runway there even for primary and secondary.  And within high ed right now because they generally don't provide those devices for their students on a mass scale, we see a lot of conversations on exactly what you were talking about. Should they -- so that you can have the same professor-to-student relationship that you have within K-12. So we've noticed in the last few years that more high ed universities have been providing those devices to students. And we actually expect that to grow in the future, and I think we're actually pretty early on in it in high ed right now.
Operator: Our next question comes from David Hynes with Canaccord.
David Hynes: Congrats, guys, on the deal and the results. Dean, I want to ask, with Apple moving to its own silicon for the Mac, curious if you see that having any impact on your business, good or bad?
Dean Hager: Sure. And just for those that are listening, Apple recently announced that they would be moving their Mac processors from Intel to silicon. We think it's awesome. We think it's going to create a more powerful Mac computer that will be selected by more people within the workplace, especially as more people from within the workplace go home. And you do have that blurred line between what is your personal computing and what is your work computing, and certainly would not put up with having a personal computer that is able to do more and be more powerful than your work computer. So we think that Apple silicon will make the Mac even a better product.  And of course when organizations move to those Mac, it isn't an overnight movement. They're going to have a period of time where they're going to have Apple Intel Macs within their fleet and silicon Macs within their fleet. And we can help them through that transition because nobody has inventory on the Mac as Jamf does, and we'll be able to make sure that the right policies get applied to the right machines.  After all, we're really the only ones in the market that were here to help through to power PC to Intel journey that Apple went through a few years ago. And we're able to use some of those same techniques and our best-in-class Apple Enterprise Management technology to be able to help organizations through that. So we see it as a net positive.
David Hynes: Perfect. And I want to follow up, Matt asked about kind of cross-sell, upsell activity and traction there. As you continue to roll out new add-on modules, how high is up for per-device fees before you might start to see some pause from buyers? In other words, is there a notional ceiling on what they're willing to pay per device? I mean it's obviously higher from here, but where do you think that might be?
Dean Hager: I'm not going to spit out what the number is in terms of what the maximum. I think that people would pay per device because that gets a little bit funny. But I will tell you this, that more and more, if you just look at the total cost of ownership of the Mac within the workplace, and for that matter iPhone and iPad as well, and you start totaling up the cost of all of the software that you end up putting on it, the residual value of the machine, the quality of it, there have been several studies as you've seen, and including recently a Forrester Total Economic Impact study that shows that the total cost to ownership for the Mac is lower. So I believe that there is still more value to provide. And provided that we keep our customers' total cost of ownership lower than other alternatives, they'll continue to purchase value-add products.
Operator: Your next question comes from Pat Walravens with JMP Securities.
Patrick Walravens: Great. Let me add my congratulations. So Jill, one sort of housekeeping for you, and then Dean, a bigger picture one. Jill, just to help investors out here who aren't necessarily 100% up to speed on the story, your EPS came in a little below the consensus. But then like if you look at your guidance and everything else, the business is clearly strong. Was there something that was a bit of a disconnect there that we should call out?
Jill Putman: Yes. Pat, good to hear from you. And thanks for the question because I really did want to try to address that here in front of the group. So it really comes down to our effective tax rate that was applied. And really going forward, we want to encourage everybody to model using our annual effective tax rate, which is 25%. And I think some of the models were picking up a flat tax rate that got applied. So when you push that through with our beat on all the other metrics, it kind of got a few things upside down there. But it really comes down to that.  And then just as a reminder, we're not currently paying cash taxes, except for just a few dollars in some of the foreign countries that we operate in. From a U.S. perspective, it will be a few years until we're actually paying cash taxes. So that's really -- it comes down to that one item that kind of gets things looking a little bit funny there.
Patrick Walravens: Great. All right. And then, Dean, here is my bigger picture question that I've been asking a lot of other CEOs, I'd love to hear your thoughts, which is -- and this is for not so much advice you're giving to others and your customers, but just for how you're running your business. When everyone is working from home, how do you make Jamf a place where people want to come work in and want to stay working at? What do you do?
Dean Hager: I love that question. We want to just stay connected to people. We are huge believers in video technology here. If you're on a meeting other than this meeting right now, we believe in connecting with those that you're close to through video. So we encourage that amongst our employees to a great degree. We have -- we still have an all-company meeting, all-company meeting every single Monday. We still have a once-a-month onboarding of all new employees, that I speak with every single new employee for 2 hours as they start with the company. We, of course, use enterprise social tools to stay connected. And our IT team just knocks it out of the park in terms of having the right tools in place to keep us all connected.  We try and help our employees stay comfortable in their homes as much as possible. But I would really say it's creating a -- one of my least favorite terms is socially distance. It doesn't have to be that. You can be physically distant, but actually creating an environment of social connection is of immense value as you're leading teams.
Patrick Walravens: Great. And by the way, these -- the Zoom earnings calls, I feel like have been going really well. So maybe next time.
Dean Hager: Yes. Glad to hear it.
Jill Putman: Great. Great.
Operator: Our next question comes from Rob Owens with Piper Sandler.
Rob Owens: Dean, you mentioned onboarding of employees. So maybe help us out relative to how Jamf reacted relative to the pandemic and hiring, where you guys are at right now. And as you look at adding that incremental capacity, given some of the digital transformation that you're seeing, can you rank order of where your investment is in terms of enterprise, versus education, versus health care?
Dean Hager: Sure. So there are a couple of questions there. Let me take the second part first. In our level of investment in health care, education and the enterprise from a percentage perspective has not changed pre- or post-COVID. We see opportunity in all three, we're innovating in all 3, and we continue to invest on those fronts. When it comes to the onboarding of employees, we initially slowed down, as everybody else did, to sort of assess what was happening in late March or April. But just as an aside, we sent everybody home on March 12. Since that time, we have fully remotely onboarded over 70 employees and we brought on over 30 summer interns. We fulfilled our internships to over 30 students this summer, and they never came in to work. They were actually very productive all summer long, did a terrific job for us.  And we continue now to accelerate our pace of onboarding employees. And because of our technology, quite frankly, they all get these wonderful shrink-wrapped gifts sent to their homes. And they do exactly what the instruction said in my prepared comments: open box, power on, and there is no Step 3. And they're connected and able to start doing their job.
Operator: Next question comes from Bhavan Suri with William Blair.
Bhavan Suri: Congrats, not just on the top end, but the really strong bottom line result. I wanted to touch on a couple of quick things: one, can you maybe talk about sort of how you're attacking the Mac opportunity versus the iOS opportunity? And so do you think about Mac being really prevalent with developers and sort of participating users to iOS being sort of with almost everybody, sort of how are your priorities on attacking those opportunities? And how do you think about that?  And then, secondly, you're talking about ramping some of the investments internationally. You've got some great opportunities, especially with governments now driving this sort of in Japan, Singapore, speaking of something in Germany, Sweden and Switzerland are talking about things like that, too. Sort of as you think about the investment in sales, is there a heavier effort internationally, just to help me understand both the Mac, iOS and international investments on sales and/or marketing?
Dean Hager: Sure. Thank you very much for your question. There's a few things there. Let me break them apart. First of all, let me touch on the Mac versus iOS opportunity. Obviously, there are far more iOS devices out there in the market today than there are Macs. We have long been kind of the standard for securing and managing Macs within the enterprise. The approach that we take with Mac is simple. Not only do we want to be the best solution for the Mac, but we want to change the experience and differentiate the experience for the Mac within the enterprise, that we are also paving the way for greater Mac market share growth. And we believe that we're doing that, and we believe that we've seen that market share growth over the last several years. iOS is a little bit different in that iOS already has the bulk of the market within the enterprise. And so one of the things that Jamf can do is provide a greater Apple ecosystem experience for both users and IT. And you see even as Apple announces things like applications that will run on iOS and the Mac, they don't necessarily announce that these same applications will run on iOS and say, some other manufactured device, which means that you can grow into a scoping and policies for Apple devices that actually encourages the notion of an Apple Enterprise Management system. So we want to create that ecosystem experience for both IT and the user within the enterprise.  And then the other thing that we do on the iOS side is industry workflows. iOS has the ability to completely transform workflows through mobility, so completely changing the relationship between teacher and student, changing the relationship between physician and patient, between corporate and retail stores that are out there no longer having a corner where you buy things at but actually make the point of sale at literally the point of sales. So creating the Apple ecosystem experience and writing industry workflows is the approach that we take between Mac and iOS.  Regarding internationally, our growth outside of the U.S. is faster than it is in the U.S. And generally, we invest in sales and marketing from a growth perspective, sort of at the same rate that we're growing within those regions. So we see great opportunity across the world, and we'll continue to invest in regions to capture more of the share that exists globally.
Bhavan Suri: Awesome. That's very helpful, guys. Congratulations. Really, really nice job.
Operator: I'm not showing any further questions at this time. I would now like to turn the call back over to management for any closing remarks.
Dean Hager: All right. This is our first one, everybody. I just want to thank you for joining us at Jamf. We are so excited to continue to help organizations succeed with Apple. And we look forward to sharing our results more with you in the future. Have a great afternoon or evening.
Jill Putman: Thanks, guys.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.